Operator: Good morning, everyone. My name is Jamie, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing Second Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, today's event is also being recorded. At this time, I'd like to turn the floor over to Mr. David Lim, Head of Investor Relations. Please go ahead, Mr. Lim.
David Lim: Thank you, and good morning. I'd like to welcome everyone who is joining us on AAM's second quarter earnings call. Earlier this morning, we released our second quarter of 2023 earnings announcement. You can access this announcement on the Investor Relations page of our website and through the PR Newswire services. You can also find supplemental slides for this conference call on the Investor page of our website as well. To listen to a replay of this call, you can dial 1 (877) 344-7529, replay access code 490-7646. This replay will be available through August 11. Before we begin, I'd like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements subject to risks and uncertainties, which cannot be predicted or quantified, which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures as well as a reconciliation of these non-GAAP measures to GAAP financial information is available on our website. With that, let me turn things over to AAM's Chairman and CEO, David Dauch.
David Dauch: Thank you, David, and good morning, everyone. Thanks for joining us today to discuss AAM's financial results for the second quarter of 2023. With me on the call today is Chris May, AAM's Executive Vice President and Chief Financial Officer. To begin my comments, I'll review the highlights of our second quarter financial performance. Next, I'll touch on some incremental electrification business development news in the quarter. Our technology and our approach to the market through our components and our drive units, continues to gain global momentum and is driving interest across multiple segments and applications. As the transition to electrification unfolds, AAM will be at the forefront of that change with our cutting-edge electric propulsion technology that delivers robust power output, superior MVH and compact designs. After Chris covers the details of our financial results, we'll open up the call to any questions that you may have. So let's begin. AAM's second quarter of 2023 sales were $1.57 billion. AAM continues to be impacted by intermittent downtime at a number of our customers. Although it has become more difficult to pinpoint that causes this downtime, we believe it is a combination of continuing supply chain challenges, including the lack of labor availability and active inventory management by our customers. On a positive note, we have seen some improvement sequentially regarding these industry issues, but we continue to – we will continue to monitor the overall macro environment and remain focused on the factors that we can control. From a profitability perspective, AAM's adjusted EBITDA in the second quarter was $192 million or 12.2% of sales. The margin performance reflects the impact of production volatility and inflation. In addition, we continue to experience elevated launch costs and inefficiencies driven in large part by labor availability. We expect these costs to improve throughout the second half of the year as we adjust our business appropriately. Chris will provide more details around our financial performance in a few moments. AMM's adjusted earnings per share in the second quarter of 2023 was $0.12 per share. AAM generated a strong positive cash flow in the quarter. AAM's adjusted free cash flow was very strong at nearly $100 million in the second quarter. Let me talk about some business updates, which you can see on Slide 4 of our presentation deck. Last quarter, we announced a significant e-Beam axle award with Stellantis. This quarter we're following up with another e-Beam award with an undisclosed OEM. The program is for our light-duty truck application in China. Additionally, we are announcing additional wins with our electric components business. These wins were multiple global OEMs supporting programs both in North America as well as in Europe. Today's announcements reinforce AAM's broad electric vehicle product portfolio, our capabilities, our technology and our approach to the market. From a recognition standpoint, we're very excited to share that AAM also made Forbes America's best employers for diversity and for new graduates. AAM is focused on fostering a safe, inclusive and accepting work environment. In addition, one of our goals is to develop the newly hired graduates to become AAM's future business leaders, who will not only drive future profitability and growth for the company, but also have a strong sense for community and social responsibility. To close out my comments on Slide 5 shows our guidance, which is essentially unchanged. AAM is targeting sales in the range of $5.95 billion to $6.25 billion, adjusted EBITDA of approximately $725 million to $800 million and adjusted free cash flow approximately $225 million to $300 million. And we're forecasting North American production of approximately 15.5 million units. However, as you all know, our sales performance is more dependent on production of certain significant platforms with specific customers. And the continuation of the theme that started over the past several years, the operating environment remains dynamic, but we are hopeful to see additional industry stabilization in the second half of the year and starting to see signs of that. As such, we believe the industry is positioned for stable and positive trajectory in the coming years. As we have communicated before, our focus and aim is on the future, and we'll continue to drive our efforts towards securing our legacy business, generating strong free cash flow, strengthening our balance sheet, advancing our electrification portfolio and position AAM for profitable growth. The future is very bright for AAM underpinned by our award-winning electrification technology. Let me now turn the call over to our Executive Vice President and Chief Financial Officer, Chris May. Chris?
Chris May: Thank you, David, and good morning, everyone. I will cover the financial details of our second quarter with you today. I will also refer to the earnings slide deck as part of my prepared comments. So let's go ahead and begin with sales. In the second quarter of 2023, AAM's sales were $1.57 billion compared to $1.44 billion in the second quarter of 2022. Slide 7 shows a walk of second quarter 2022 sales to second quarter 2023 sales. In the quarter, pricing was a $4 million impact, positive volume mix and other was $106 million, and the Tekfor acquisition completed at the beginning of June last year, contributed $69 million on a year-over-year basis. And lastly, metal market passthroughs and FX lowered net sales by approximately $38 million with metal and FX both lower. Overall, while the North American production was up close to 15% year-over-year, our primary full-size truck platforms with GM and Stellantis were up just over 4%. Now let’s move on to profitability. Gross profit was $178 million in the second quarter of 2023 as compared to $174 million in the second quarter of 2022. Adjusted EBITDA was $191.6 million in the second quarter of 2023 versus $195.1 million last year. You can see the year-over-year walk down of adjusted EBITDA on Slide 8. In the quarter, volume, mix and other added $31 million of adjusted EBITDA, reflecting a 29% contribution margin on AAM’s higher sales. R&D increased by approximately $2 million to support product launches and our electrification technology development. Net inflation was a headwind of approximately $14 million. AAM’s inflationary cost recovery discussions remain ongoing with our OEM customers and we expect resolution should be achieved in the second half of the year with most of our customers. The combination of launch costs, performance and other impacted EBITDA by approximately $27 million in the quarter. The drivers behind this bucket were good overall performance by the AAM’s Driveline segment offset by a combination of launch costs as we continue to ramp up significant new programs, the impacts of production volatility and inefficiencies at certain plants. Going forward, AAM’s launch costs should diminish in successive quarters as we progress along our launch curves. We would also expect customer production volatility to continue to improve. As for inefficiencies, we are addressing challenges at underpinning – underperforming locations, which largely stem from labor availability, which are impacting throughput, scrap, the need for expedited delivery and some other premium costs. Again, we expect these matters to be resolved this year. Let me now cover SG&A. SG&A expense including R&D in the second quarter of 2023 was $91.1 million or 5.8% of sales. This compares to $84.8 million or 5.9% of sales in the second quarter of 2022. AAM’s R&D spending in the second quarter of 2023 was approximately $37 million. As we indicated, entering into 2023, R&D will trend in the $40 million range per quarter as we continue to invest in our electric drive technology, capitalizing on the growing number of electrification opportunities that are before us and are launch – into launch new programs. Let’s move on to interest and taxes. Net interest expense was $44.3 million in the second quarter of 2023, compared to $39.5 million in the second quarter of 2022. Although our total debt is lower at quarter end on a year-over-year basis, the rising rate environment is driving the interest expense increase. In the second quarter of 2023, our income tax expense was $5.3 million as compared to an expense of $0.6 million in the second quarter of 2022. For 2023, we expect our adjusted effective tax rate to be somewhat elevated at approximately 50% for the midpoint of our guidance range due to a valuation allowance as mentioned on our first quarter call. We also expect cash taxes of approximately $65 million this year. Taking all this into account, our GAAP net income was $8 million or $0.07 per share in the second quarter of 2023, compared to a net income of $22.9 million or $0.19 per share in the second quarter of 2022. Adjusted earnings per share, which excludes the impact of items noted in our earnings press release was $0.12 per share in the second quarter of 2023, compared to $0.22 per share for the second quarter of 2022. Let’s now move on to cash flow and the balance sheet. Net cash provided by operating activities for the second quarter of 2023 was $132.8 million. Capital expenditures net of proceeds from the sale of property, plant and equipment for the second quarter of 2023 were $44.1 million. Cash payments for restructuring and acquisition related activity for the second quarter of 2023 were $7.1 million. Reflecting the impact of these activities, AAM generated adjusted free cash flow of $95.8 million in the quarter. From a debt leverage perspective, we ended the quarter with net debt of $2.4 billion, an LTM adjusted EBITDA of $723 million, calculating a net leverage ratio of 3.3x at June 30. Driven by AAM’s strong cash flow performance in the second quarter, we continue to reduce our outstanding debt by over $25 million. We’ll continue to utilize the free cash flow generating power of AAM to strengthen the balance sheet by reducing our outstanding debt. As for the rest of the year, Slide 5 shows our full year guidance. Our 2023 financial targets are unchanged. For sales, we are targeting a range of $5.95 billion to $6.25 billion for 2023. This sales target is based upon our production assumptions for our key programs and a North America production of approximately 15.5 million units. For our guidance range, we continue to anticipate the GMT1XX program to be flat to up to approximately 5% to 10% on a year-over-year basis. We note that our total sales are more sensitive to production of certain key platforms versus just overall inventory production. In terms of quarterly cadence considerations, we would expect launch costs to improve into third quarter and customer inflation recoveries in the back half of the year. Operational inefficiencies should diminish over the balance of the year. While uncertainty remains, we are cautiously optimistic that the industry operating environment will continue to improve throughout the year. Our adjusted EBITDA target is $725 million to $800 million and our adjusted free cash flow target is $225 million to $300 million. In conclusion, we continue to make good strides with our electrification business development and technology, reduced launch costs, progress on efficiency gains will continue and we are optimistic about it – about our commercial recovery discussions with our customers. As we head into some interesting times, we are focused on remaining nimble, optimizing our business and looking forward to capturing updrafts and macro conditions as they materialize. Thank you for your time and participation on the call today. I’m going to stop here and turn the call back over to David, so we can start Q&A. David?
David Lim: Thank you, Chris and David. We have reserved some time to take questions. I would ask that you please limit your questions to no more than two. So at this time, please feel free to proceed with any questions you may have.
Operator: [Operator Instructions] Our first question today comes from John Murphy from Bank of America. Please go ahead with your question.
John Murphy: Hi. Good morning, guys. Thanks for the time. Just one…
David Dauch: Good morning, John.
John Murphy: One quick question first on the 29% flow-through or incremental margin you were talking about on the revenue, EBITDA and volume mix. You also mentioned something about some performance pressure from the volatility of schedule that was in the bar of mega $27 million on the EBITDA walk. So I mean are you calling that out and saying that that's not part of the incremental? And just how should we be thinking about these incrementals going forward? Maybe if you could give us the number on that volatility costs in the quarter?
Chris May: Sure. Yes. When we talk about our contribution margin as it relates to EBITDA on our volume that is sort of pure variable profit, so that's running at 29%, you've heard us historically talk about. It will range anywhere from 25% to 35% based on mix. So that's our pure variable profit on those incremental sales or decremental. In this case, they're incremental. The performance piece that you're talking about is in the $27 million bucket. You think about half of that bucket is related to launch activity in the beginning of the quarter, especially and the other half is related to some of these inefficiencies. And I would expect that half of that bucket to continue then to diminish over time through the balance of the year from a performance standpoint. That's the impact from a sequential Q2 to Q3 to Q4. That's kind of the bucket we're talking about from an inefficiency perspective. Does that hopefully that quantifies…
John Murphy: Yes. And your expectation is that close to zero as we exit the year. Is that a fair statement?
Chris May: Yes. I mean it should be. It will be definitely trending that way, yes.
John Murphy: And David, just the second question on the EV transition. Obviously, two of your large customers or two large customers here in North America, maybe three, are pushing back their expectations for EV volume ramp. I'm just curious what that means for your business. Does that mean, on the core side, you're going to generate margins and cash flow that will fund the future and that may shift the way you run the business or you may just keep running and investing heavily in the EV side? I'm just curious how you're interpreting this and what it means for your strategy and business near term and long term.
David Dauch: Yes, John, I don't think it really changes our strategy that much. I mean, obviously, we're going to continue to optimize our core ICE business and get the most value out of that business. As you indicated, the performance of our current business is really what's helping us fund the future. But as Chris has commented, we're going to spend approximately $40 million per quarter in regards to R&D cost. And most of that is dedicated towards supporting the transition to electrification. So we're going to continue to round out our portfolio, continue to grow our backlog in new business in electrification while optimizing our core business.
John Murphy: Okay, great. Thank you very much guys.
Chris May: Well, thanks, John.
Operator: Our next question comes from Ryan Brinkman from JPMorgan. Please go ahead with your question.
Ryan Brinkman: Hi. Thanks for taking my question. I heard you say in the prepared remarks that there may have been some adverse customer mix or lower production on a particular customer program. I wanted to dig into the sort of only reiterated guide, despite now expecting the 15.5 million North America production versus 14.5 million to 15.1 million earlier. It sounded like at least some of your programs might still be experiencing some unexpected downtime. I heard you say that it could be harder to pin down the reason for the downtime versus earlier when maybe automakers were more public about it clearly being semiconductor related, et cetera. So I don't know if you're able to say like which program or programs that you supply into that might have tracked softer? And do you think it's due to the customer taking downtime to adjust to lower demand, which could presumably continue? Or do you suspect it relates instead to a more like supply side explanation that could resolve?
Chris May: Yes, Ryan, this is Chris. I'll take the first part of your question here. I think the crux of your question is, macro view from a production standpoint is 15.5 million units. That's up from our previous view, but yet we didn't raise our sales guidance and what is contributing to that thought process. So what I will tell you is, first and foremost, if you look at the assumptions for our sales, it's really the underpinning of our specific platforms. And to be frank, our view on our big platforms that drive this company have not really changed much over the last, call it, a quarter or two. I told you – as we mentioned in the prepared remarks, our view on the General Motors full-size truck platform continues to remain the same as it was previously from a year-over-year flat to up 5% to 10% bracketing our range and as well as our other top platforms with Stellantis and other ones with General Motors. Those continue to remain pretty consistent sort of quarter-over-quarter. We do see some ancillary benefit on the elevated production in some of our smaller components, we would supply, for example, through the Metal Forming group. So you do get a little bit of lift on that, but our main programs, we have not changed our views on.
Ryan Brinkman: Okay. Thanks. I did want to check in on that other comment on the Slide 2 about the guidance being based upon sort of the – the current business environment versus the earlier business environment? Are you seeing the same improvements in business environment that other suppliers are reporting such as steadier customer production schedules generally or, I don't know, moderating non-commodity supply chain costs a lot about freight this quarter? Or just how are you feeling about the overall industry operating backdrop?
Chris May: Yes. I think from a production standpoint, Ryan, what I would tell you is our second quarter in terms of downtime, duration of downtime, notification of downtime, still impacted negatively, but better than what we saw and experienced in the first quarter of this year. That does continue to go into the third quarter. One of our largest endpoint plants from a white truck perspective is down, for example, two thirds of the month of July. So that does continue, but it is sequentially better than what we experienced in the early part of the year. From a cost perspective, we've seen some favorability from our macro conditions on things like utilities and freight, but we still face pressures from an inflation standpoint on labor as well as from our supply base, who are also experiencing these type of inflationary cost pressures that they're looking to pass up through the chain, those continue.
Ryan Brinkman: Okay. Very helpful. Thank you.
Operator: Our next question comes from Dan Levy from Barclays. Please go ahead with your question.
Dan Levy: Hi. Thank you for taking the questions. I think you may have addressed this in the comment or just launch cost dissipating, but maybe you can give us a little more color, Chris, on the 1H to 2H bridge. And specifically, you have revenue down slightly at the midpoint, but your margin is up a point. And that's just purely the launch costs dissipating? Is there anything optical with metal – color on the bridge on the margins?
Chris May: Yes, if you think about first half performance – first half, second half in totality, if you're talking about, call it, at the midpoint of our range, the revenues would be about equal, which would imply sales per day slightly higher because there are lower production days in the second half. Our view is some of our larger platforms are more consistent from an absolute volume perspective plus our backlog is a little bit more weighted to the back half of the year from a revenue perspective. And then absolutely, yes, that would also imply an uptick in some level of margin performance, and that's driven by elimination of some of these launch costs as they dissipated some of our larger programs were launched during the first half of the year. Think of, for example, the GM mid-size truck platform that was launched in the first quarter and early parts of the second quarter as well as gaining on some of those efficiencies related to labor availability that we've been working through in a meaningful way here in the second quarter that will continue into the third quarter and then will start to improve itself as we exit the third quarter into the fourth. That's how I would think about that.
Dan Levy: Okay. Thank you. And then just as a follow-up to John's question earlier, David, just on this issue of EV targets getting pushed out by some of the D3. Are you seeing any change in the OEMs in terms of their focus on vertical integration, I would thought that maybe they won’t have enough volume to justify vertical integration efforts for certain components? And so this plays in a bit more to the outsourcing opportunity and this the opportunity for you on drive units?
David Dauch: Yes. Dan, I mean, there’s obviously uncertainty as the OEMs are still trying to figure out their long range product plans and what type of vertical integration strategy that they want to have. What’s clear to us is that they’re going to do part of it. The question is how much are they going to do? All we want to do is make sure that we’ve got the proper product portfolio in place to be able to satisfy any demand that they go to the outside to support. And we’re very well positioned for that. As we’ve conveyed to you all before, we’re approaching the market where we can go at it from a component standpoint. We can do it from a sub-assembly standpoint. We can do it from a gearbox standpoint. And we can do it in a final assembly. And that final assembly can either be in EDU, like an electric drive unit, or a complete e-Beam assembly, which is more applicable to pickups and things like that for low carrying capabilities. So we’re growing in all those segments right now. At the same time, we’re hopeful that we can continue to grow maybe at an accelerated rate, but that’s going to be dependent on the OEMs making their vertical integration strategies. But back to John’s earlier comment in regards to these volumes maybe pushing out a little bit. Again, I still think ICE is going to be here much longer than maybe others think. I’ve been very vocal and very open about that. But at the same time, I’m a big believer in the electrification technology. I just think it’s going to take a little bit longer to be fully adopted, because there’s a number of issues that got to get addressed from the infrastructure standpoint, the charging station standpoint, the affordability of materials, the affordability from a consumer standpoint from a mass market. And then ultimately the OEMs also got to demonstrate the ability to make money here, because that’s ultimately what’s going to continue to fund and fund their future organizations going forward. So I think, my personal feeling is I think there’ll be a balance what that balance and mix is going to be in the future TBD, but at the same time we’ll be prepared to support whatever that mix is going to be.
Dan Levy: Great. Thank you.
David Dauch: Yes, thanks, Dan.
Chris May: Thanks, Dan.
Operator: Our next question comes from James Picariello from BNP Paribas. Please go ahead with your question.
James Picariello: Hi, good morning, everyone.
David Dauch: Hi, James.
James Picariello: Just on the metals in FX flow through right, the first half is seen an EBITDA benefit of $23 million and I think your original guidance, which of course remains intact. You baked in a full year headwinds to EBITDA of about $20 million. So what’s driving the major delta there and how are you thinking about the rest of the year? And then just to follow on to that, can you provide any color on how you’re managing the your Mexican peso exposure and the associated impact there to your conversion? Thanks.
Chris May: Yes, certainly. I’ll take this here James. From a metal market perspective, we have seen the first half of this year a benefit if you will, as we’ve seen some softening in some of those metal indices. So you’re seeing that translate in a positive relationship towards typically when they go down, our revenues go down, but we capture a little bit of that 10% to 20% residual to the profit upside. The inverse happens of course when they go up. We’ve seen them start to trend up a little bit here in the back half of the second quarter, but not meaningfully. How do we think about these unfolding for the balance of the year? Typically, as you know, they change every 30 days. For us, we just assume sort of runway – run rate where we exited the second quarter from a level of metals indices. In terms of profitability standpoint, like I mentioned, they have an inverse relationship. We saw some increasing metal content at the end of last year. Aluminum was very strong and elevated. We saw some mixed trends on some of the other commodities. So that was our guidance going into the year. This is obviously playing out a little bit better for us from a metals perspective. But again, changes every 30 days and we’re subject to the whims. The design of our contracts with our customers are to insulate us and protect us in a macro level for these type of metal changes. That would be my first point. Second point you’ve asked about the peso side. Yes, obviously that currency is a very important currency for us from a cost perspective. We buy over or consume on an annual basis over 5 billion pesos. So think of a few $100 million worth of pesos. We do have a rolling hedge program in terms of that where we hedge between zero to three years out. And we’re in a pretty good spot for that here this year. We disclose all our hedging relationships, of course, inside of our Q. But any – in a typical timeframe, we’re hedged on a next 12-month rolling basis, anywhere between, call it 75% to 80%. Hopefully that frames up our peso exposure. But it is strengthening and obviously that will be a little bit of a headwind for us as we head more into next year, very small amount for the balance of this year.
James Picariello: Understood. That’s helpful. And just on the e-Beam axle award in China, will that be through any joint venture relationship for you guys? Or is that going to be just completely done in region through your consolidated operations, just any color right there? Thanks.
David Dauch: Yes, we’re just not able to comment on that at this time based on what the customer has asked us at this point in time. But at the appropriate time, we certainly will do that and let you know that.
James Picariello: Got it. Thanks.
David Dauch: Yes.
Operator: And ladies and gentlemen, our last question today will come from Tom Narayan from RBC. Please go ahead with your question.
Tom Narayan: Oh, yes, thanks for taking the question. Actually, if you could provide maybe some color and specifically what – how you guys are improving the labor availability. I know you’ve called that out a couple of quarters now. Yes, just what specifically you’re doing that gives you confidence that’ll improve?
David Dauch: Yes, this is David. Tom, first and foremost, I mean, obviously, we’re extending the pool in the area that we’re looking to attract talent from. We’re paying referral bonuses, we’re paying retention bonuses. We’ve increased our wages multiple times. We’re demonstrating greater flexibility in regards to how we are hiring and the type of positions and roles that we have. We’re also putting in appropriate skillset training and development because it’s one thing to vet [ph] them and then hire them, but also then retain them. So we can slow down some of the attrition rate that’s going on in the marketplace today. But everything I just covered with you and a number of other things are definitely starting to pay off and we’re starting to address and get these issues taken care of and we’re highly competent that we’ll have it resolved here in the second half of the year.
Chris May: Yes. And some other elements for that Tom, as well as we look at some of the product loads in our facilities, looking to optimize some of our open capacity elsewhere that could – that has labor availability or I should say doesn’t have labor availability issues that we can leverage from that perspective as well as, you’ve heard us also talk about automation, so that takes time to implement over time. So we’re looking for areas to support that as well. So we’re really attacking this on all fronts.
Tom Narayan: Got it. Thanks. And then my follow-up on the D3 BEV volume issue in North America, we’re not necessarily seeing that happen as much with maybe European OEMs. Just curious if, are you able, if you’re making these products, is it possible to shift your strategy to selling to other OEMs? Or are you kind of just fixed on developing EV products for your existing OEM kind of customers that you have that are maybe more North American?
David Dauch: No, I mean, our approach to the market is a global approach to the market from electrification standpoint, broken down in the different segments that I outlined earlier. Clearly, we service 75% of our business today is here in North America, so we want to work to protect the existing programs that we have while also growing that. But we also as we’ve highlighted before, one sizable awards in Europe as well as in China. That’s all electrification based. So again, we’ll go where the opportunities are at the same time be respective of the OEM’s decisions in regards to what they think the launch time will be for their respective programs.
Tom Narayan: All right. Great. Thanks.
Chris May: Yes, thanks Tom.
David Dauch: I believe that was our last question. Thank you Tom, and we thank all of you who have participated on this call and appreciate your interest in AAM. We certainly look forward to talking with you in the future. Thank you.
Operator: Ladies and gentlemen, with that we’ll conclude today’s conference call and presentation. We thank you for joining. You may now disconnect your lines.